Operator: Welcome to Kirkland Lake Gold Third Quarter 2019 Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Mark Utting presenter, Vice President of Investor Relations. Please go ahead, sir.
Mark Utting: Thanks very much, operator, and good afternoon everyone. That's good afternoon for everyone in North America. Well actually, good morning for us, we're doing the call from our new offices in Melbourne today.With me are many members of the Kirkland Lake Gold management team. Those presenting including Tony Makuch, our President and Chief Executive Officer; David Soares, our Chief Financial Officer; Ian Holland, our Vice President Australian Operations; and Natasha Vaz our Vice President, Technical Services; Eric Kallio, our Senior Vice President of Exploration; and Troy Fuller our Director of Exploration for Australia. As I mentioned, there are several other members of the management team in the room as well.Today we'll be providing comments on the results for the third quarter and first 9 months of 2019. After the presentation, we'll open the call to questions. The slide deck that we will be referring to is on the webcast. It also is posted to our website at www.klgold.com. Before we get started, I'd like to draw your attention to the forward-looking statements which is Slide 2 on the deck. Our remarks and answers to questions may and likely will contain forward-looking information about future events and the company's future performance. Please refer to the detailed cautionary note on this slide, as well as the forward-looking information set out in the news release announcing our third quarter results.Also, during today's call, we'll be making reference to non-IFRS measures, a reconciliation of these measures is available within the third quarter and first 9 months of 2019 MD&A, which is posted on our website as well as SEDAR. Finally, please note that all figures discussed today will be in U.S. dollars unless otherwise stated.With that, I'd like to turn the call over to Tony Makuch, our President and Chief Executive Officer.
Tony Makuch: Okay. Thanks, Mark. And thanks, everyone for being on the call. As stated in our release today, the company had a very solid third quarter and probably continue to deliver industry-leading results. But before we start the presentation to explain the performance in the quarter, maybe I'll just first take the time to acknowledge the people of Kirkland Lake Gold including their families, our suppliers, service providers and the communities that support us. We get to talk about our accomplishments and they are there the ones that make things happening for us. So thank you very much and we look forward to a continued safe working in Q4 and finishing off the year.Now turning to Slide 3. The company reported record results in Q3, 2019 in production unit costs, earnings and cash flow. Production for the quarter was 248,000 ounces, cash products of $287 an ounce and all the sustaining costs were $562 per ounce. Earnings per share for the quarter was $0.84. Operating cash flow in the quarter was $370 million or $1.33 per share before changes in working capital, and very importantly, we added $146 million of cash internally funding our growth.Looking at year-to-date on Slide 4. Results for the first 9 months of 2019 were very strong also but actually just it's under 700,000 ounces year-to-date, cost are tracking well in our industry-leading with cash costs of $296 per ounce and all-in sustaining cost of $584 per ounce. Earnings per share year-to-date is $1.86. Free cash flow sits at $330 million and on a year-to-date basis, we've increased our cash by $280 million or 85%. Cash at the end of September 30, 2019, totaled $615 million and continues to grow in Q4.Turning now to Slide 5. Something - what happened in the quarter our 2 high-grade low-cost mines performed very well. Fosterville continues to deliver exceptional results. Had record production of 158,000 ounces, driven by continued improvements in the average head grade as well as higher tonnage compared to the previous quarter. Ian Holland will get more into the details of this later. Macassa also had a strong quarter in Q3. Tons processed increased 18% from Q2 and grade improved in both Q3 last year and last quarter. Also [indiscernible] continued to demonstrate to us that they are acceptable mine with significant growth ahead of them.Now, turning onto guidance line on Slide 6. And looking at our guidance, we continue to target 953 million ounces of consolidated production for the year. We have reduced our production guidance for whole complex. We expect Fosterville, Macassa to have strong final quarter of the year, which will allow us to end the year comfortably in our guidance range. Looking at all, we announced in early October that we are reviewing purchase future plans of the whole complex. We have royalties to contend with that limit our willingness to invest here. We need to resolve those issues and do a lot more drilling at all 3 mines. As mentioned, we are looking at the best way to proceed here. Looking at some of our other guidance we have revised our capital expenditure guidance.Sustaining capital will be higher largely due to additional development at Fosterville and Macassa to support growth this - which included adding equipment and enhancing infrastructure at the mine. Growth capital expenditure guidance has increased also normally relates to the advanced expenditures as a number 4 Shaft project at Macassa. Basically what would happen here is we've taken over from the general contractor on site doing ourselves performing things outperform the development of the shaft ourselves. Now, as a result, we purchased plant and related equipment from the contractor and we had purchases now as opposed to spreading it out over the life of the project on a rental basis. We don't expect it to have any impact on the point of that capital cost estimate and or schedule as before. Also, exploration guidance is higher at that really it relates to the progress in the Northern Territory.We have started to test processing at new units now and expect it brings over 10,000 ounces this quarter. This will not be commercial production; it is fair to say however that we are making good progress towards the restart decision in the ENT.Turning to Slide 7 with strong financial results and a growing cash and cash position, we are continuing to increase the amount of capital we return to shareholders. We announced that a 50% increase in the common share dividend to $0.06 per share effective to Q4 2019 dividend payment. This will be the fifth increase in dividends since it was introduced in March, 2017. Higher dividend payment supports our reference to generate strong returns for shareholders. We continue to have considerable success with our share price also up about over 70% year-to-date in 2019.With that, I will turn the call over to our CFO, David Soares.
David Soares: Thanks, Tony. Good morning, everyone. As Tony mentioned, we had record earnings in Q3, 2019. Net earnings was $176.6 million or $0.84 per share. Earnings increased over 200% from $55.9 million in Q3, 2018 and were 69% higher than the previous quarter. By far as the most significant factor driving earnings growth was increased revenue driven by higher sales and an increase in the gold price. We also had a foreign exchange gain of $13.7 million pre-tax in the quarter, which reflects the weakening of the Aussie dollar to the U.S. dollar.In addition, we had lower expense exploration cost compared to Q3, 2018 and this is because we are capitalizing more of our exploration costs than we did in the past. If you look at our per-share earnings quarter-over-quarter we closed Q2 at $0.50 a share. And closed the third quarter at $0.84 a share. The sales volume positive variance of $0.19 a share was the main factor driving that increase, as well we had $0.14 a share improvement in the gold price and $0.06 per share in the foreign exchange gain.Turning to revenue. We achieved significant revenue growth against both prior periods. Revenue of $381 million increased 71% from Q3 2018 and 36% from the previous quarter. The most significant factor driving revenue growth was the large increase in sales in Q3. Total gold sales were 256,000 ounces of 39% and 21% from Q3 2018 and last quarter respectively. We also benefited from a higher average realized gold price in Q3. The average price was $1,482 per ounce. This was up $278 per ounce from last year's third quarter and $162 per ounce from Q2 2019.You can see on Slide 10 the contributions to revenue growth of volumes and price, for the changes from last year's third quarter and Q2 this year. Both have a significant factor in driving revenue higher. Turning to EBITDA. Q3 2019 EBITDA totaled $296.4 million, more than double the level in Q3 2018 and 60% higher than last quarter. The key driver of growth in EBITDA was the increase in net earnings. Depletion and depreciation costs were higher, reflecting increased production volumes.Turning to the year-to-date review. Our net earnings were $390 million or $1.86 per share. That was 134% higher than $167 million or $0.84 per share for the first 9 months of last year. Revenue growth of 52% was the key driver of the increase in year-to-date profitability year-over-year. Again, that was a function of both higher sales and gold prices. We also benefited from improved unit cost and lower expense and exploration costs with small contributions also from net finance income and other income. These factors will be partially offset by higher depletion and accretion cost - depreciation costs and increased corporate G&A, reflecting our continued growth.The next slide looks at growth in our cash during Q3 2019. We increased our cash position by $146 million during the quarter. There are few things on this slide that I want to point out. Our operating margin really drove the growth in cash, a combination of record sales, higher gold prices and improved unit costs were key factors in contributing to the higher margins. As you can see on Slide 13, the various uses of cash we have. Not surprisingly, the most significant is our capital expenditures. What the slide really highlights is the fact that we're funding all of our growth and still rapidly rebuilding our cash position.With that, I'll turn the call over to Ian Holland, Vice President of Australian Operations.
Ian Holland: Thanks, David. Starting with Slide 14. I just want to provide some comments on the quarter for possible. The operation had a strong headline result with production of just over 158,000 ounces. It was a new quarterly record. This was built on exceptional grade performance for the quarter of 41.8g per ton with tons milled in recovery essentially line with plan. The grade performance was driven by one production during the quarter. The image on the right hand side of the slide shows a long section highlighting the sources mined. There are 11 stopes in total line for the quarter on this one globally over 9 different levels. Combined with development, the contribution from Swan was approximately 59% of the tons containing 94% of the ounces produced over Q2.The strong production results translated through exceptional unit cost performance, operating cash cost of $115 per ounce and all-in sustaining cost $289 per ounce. Earnings from operations for the quarter came in at $199.5 million. Investment continues at Fosterville with sustaining capital of $23.8 million and growth capital of $11.3 million for the quarter. The growth capital was focused on the 3 main projects ventilation upgrade, paste plant and mine water treatment plant. The paste plant and modern treatment plant are on track to be completed this year with the ventilation upgrade to be completed in Q1 next year.Turning to Slide 15, and the projection for the remainder of the year. We expect to be in line with current guidance of 572,000 to 610,000 of ounces of gold produced and operating cash cost of $130 to $150 per ounce. We expect tonnage milled in Q4 to be similar to the previous quarter with a further increase in production, driven by higher grade as we continue to advance sequence of Swan into the higher grade areas of the resource.Moving to the Northern Territory on Slide 16. We continue our work across a range of projects in the Northern Territory. The most advanced of these is [indiscernible] deposit immediately adjacent to the Cosmo mine where we continue to drill and develop to assess the mineralization. The image to the right hand side of the slide shows the development and trial mining in Lantern and Cosmo that occurred during Q3. We've also commenced a trial processing early in October and expect to produce over 10,000 ounces of gold for the quarter, which will be credited against the capital expenditure. It's important to note though that our vision for the Northern Territory is a larger multi-mine operation, feeding a central mill. And to that end, we've continued to work in a range of other areas during the quarter, which Troy Fuller will describe a little later.With that I'll pass over to Natasha Vaz to discuss the Canadian operations.
Natasha Vaz: Okay. Thanks, Ian. Good morning everyone. As Tony mentioned, we've had a strong quarter in Q3. Production from the mine was 53,000 ounces, which was 13% higher than in Q3 2018 and 28% higher from the previous quarter. Year-to-date, we produced 185,000 ounces, so we are well positioned to achieve the guidance of 240,000 to 250,000 ounces this year from Macassa. Tons processed in Q3 increased 18% quarter-over-quarter, averaging about 930 tons per day. So you may recall that in Q2 our tons were impacted by excess water in the mine, related to the spring runoff. This is what limited our quenching capacity in the second quarter. As for the average grade in Q3 that's improved to 23.3 grams per ton. Here, we see continued success with - and a solid performance [indiscernible] around 57 level on the South Mine Complex.Now looking at cost. We continue to be well positioned relative to our guidance. Operating cash cost at Macassa was $425 per ounce for the quarter and averaged $397 for the year, versus the guidance of $400 to $425 per ounce for the year. As for all-in sustaining cost, improved in Q3 to $689 from $788 in Q2. The improvement reflected lower cash cost per ounce, as well as a reduction in sustaining capital expenditures. Macassa expenditures were about $3 million lower in Q3 and this was a function of timing per capital development and mobile equipment purchases.So with that, I'll turn the call over to Eric Kallio, our Senior Vice President of Exploration.
Eric Kallio: Thanks Natasha and good morning everyone. Today's presentation, I'll start with Slide 18 and with Exploration Canada and then pass over to Troy Fuller for some comments on Australia. In describing the program for Canada, I believe it's fair to state that, the work has been strongly focused on Macassa and working on building up resources to support the new Number 4 shaft on its completion. The slide at hand is an overview showing one of the main work areas on the 53 level at the mine, along with locations of recent drilling. As indicated, there were approximately 200 new holes drilled during the quarter and with most of these being designed to test the East-West and depth extension of the SMC complex, and the Amalgamated Break.Although work has shown progress, we did release some initial results earlier in the quarter and by all accounts, we consider these very positive. Turning to my next slide, which is number 19, we now see some more details on drilling, which was done to the west side of the level and testing both the westward extension of the SMC and the Amalgamated Break. Shown on the Slide is long section view of the area, looking across the two zones to the North and displaying new intercepts for each zone with color coding, key new results from the SMC are color-coded in blue and as indicated include some very significant [indiscernible] in almost every drill hole which and with some of the most important holes being located up to about 235 m west to the current results.Key results for the Amalgamated are color-coded in pink and again includes multiple high grade intercepts which will confirm and slightly extend the previously mined zone to the west. In addition to the above, we are also noticing some other very important observations at the level of the Amalgamated and with one of these being that a lot of the intercepts that seem to be occurring with deeply different structures, which trend parallel to the Amalgamated Break rather than shallower and more parallel to the SMC, many of the values are also located within a broad zone of alteration, which contains [indiscernible] and increased sulfides, also important is that much of this structure remains untested outside of each result, so leaving a lot of upside for the future.Now, turning on to the next slide, which is Number 20, we'll see some additional details for the East side of the level and as indicated the drilling here also indicated some very good results with several cases showing multiple zones and high grade is [ph] a key part to this from my perspective is that some of the best is again are located, up to 250 meters east of the current resource. So in areas with very little drilling and demonstrating that the zone is still open to the East for further expansion.Considering above, we believe, we are extremely encouraged by the results and continue and especially the future potential to continue expanding these parts and now we are working on additional opportunities to accelerate and optimize this process. As part of this, we have already increased number drills on the level by 2. So we now have 6, and looking at new opportunities to even expand the amount of development as we go forward to create new platforms.So all in all, things are looking good and doing very confident about the future. So with that, I'll now pass on to Troy Fuller, our Director of Exploration for Australia.
Troy Fuller: Yes, thanks Eric, and good morning. Growth drilling in Australia of the quarter has been focused on drilling at Fosterville and in the Northern Territory.At Fosterville, up to eight underground rigs and six surface drill rigs have been operational growth projects over the quarter. Drilling is continued - extensional drilling on the Lower Phoenix Gold system covering the dam plans, projections of the Lower Phoenix mineral resources, drill results indicate significant quantities of sulfide mineralization assisting to debt and we expect to see significant expansion of inferred mineral resources in design for NDA model updates. Continuity of mineralization has now been established over approximately 900 meters down plunge from the Swan mineral reserve block and infill drilling is underway immediately down plunge of the Swan mineral reserves, after the establishment of a hanging wall platform in the quarter.In the Lower Phoenix system, we have also continued to undertake drilling into the open-plunge extensions of the Cygnet structure, which was sub-parallel at approximately 110 m footfall to the Swan. Drilling into the structure has return some encouraging results to date including multiple currencies of visible gold in sulfide mineralization. We fully expect to see expansion of mineral resources on the structure without end-of-the-year model updates, based on the drilling we've undertaken today.Harrier drilling continued to focus on the down plunge extensions of the Harrier mineral reserve block and has now performed continuity of mineralization approximately at 500 m down plunge at the Harrier mineral reserves. Extensional drilling from the 200 meter exploration drift established as a target anticline offsets at depth also commenced during the month.At the end of the quarter two holes had passed through the projected position of the Harrier structured debt which showed localized corresponding and sulfide mineralization, further up plunge drill intersections on the ascending limb of the Anticline, after slight coarse finding, with some visible gold and sulfide mineralization. There is a lot more drilling applied in the zone due to full assessment of the Anticline target and drilling will continue on this for the remainder of the year. Surface drilling with 6 rigs at Robbin's Hill target continued to return encouraging results with drill holes returning sulfide and visible gold bearing mineralized to service.Here in zone of mineralization, has been refined, the plunge is in a southerly direction to a depth of approximately 600m below the surface. In addition, exploratory step out drilling between Fosterville and Robbin's Hill has been made to better understand the geological framework and mineral resource growth potential in this side. Initial results indicate the sulfide mineralization exists at a distance of approximately 1.9 kilometers south along strike of the existing Robbin's Hill mineral resources.In the Northern Territory, three underground and three service rigs have been in operation at three main target areas, underground drilling has been focused on the infill and extension drilling at Lantern Atlanta, which is returning encouraging results, including several appearances of visible gold. The drilling for the remainder of the year is focused on infill to increase resource confidence ahead of mining but the system remains open at depth and extensional drilling campaigns will continue into 2020. Surface drilling at Union Reefs and Pine Creek continue to return to positive results and demonstrate the growth potential with the mineralized systems open a long stride in that depth.We are confident that with further drilling, we will be able to establish significant mineral resources in close proximity to the Union Reefs mill. Drilling will continue on these targets for the remainder of the year. In addition, permitting for the prospect decline in Union Reefs is underway as we work towards commencing this development the mid-2020.I'll now hand over to Tony to round up the presentation.
Tony Makuch: Thanks, Troy. And thanks, everyone. Now turning to Slide 23, where we can do some, what you've seen for the quarter and what you've seen from Kirkland Lake Gold. We had record results in Q3, 2019 and we ended the first nine months of 2019 also well positioned, to achieve our full production and unit cost guidance.Our earnings so far in 2019 are very strong and closing position as the industry leader, we're generating substantial amounts of cash flow and are building our financial strength. We're using that financial strength to invest in our assets and also to return value to shareholders, we are increasing our dividend for the third time at 6 cents per share starting in Q4 of this year. Our stock continues to perform well being up close to 70% so far in 2019.And we are looking to a - forward to a very strong finish to the year with another solid quarter expected in Q4, we expect to continue to our [indiscernible] and drive shareholder value including some exploration results and updated plans for 2020 over the next one.So, thanks again for participating in today's call and we'll be happy to take any questions.
Operator: [Operator Instructions] Our first question comes from Cosmos Chiu from CIBC. Please go ahead, your line is open.
Cosmos Chiu: Hi, Thank you. Thanks, Tony, David, Ian, Natasha, Eric, Troy, and of course, Mark. Maybe first off on Fosterville here. Ian, as you mentioned, Q4 grades will likely be once again better quarter-over-quarter. I don't know how much you can tell us at this point in time, but are these higher grades that we've seen in Q3 and Q4 sustainable into 2020?
Ian Holland: Yes, thanks Cosmos. I guess, from our perspective, we would be really happy with the performance of the resource model for Swan, it's behaved in line with expectations or maybe on average a little bit up. We do expect to see a little higher grade in Q4 as we've - as we've foreshadowed. At this stage for 2020, I wouldn't want to be giving any sort of firm numbers, but I think it's safe to say that we're seeing results that would look like, similar to what we've previously put out in our guidance, and we're not seeing at this stage any significant deviation from that.
Cosmos Chiu: For sure. And I guess, again at Fosterville or around Fosterville here that I noticed in the MD&A that some exploration tenements expired earlier on in 2019, and now are for public bidding. EO, I believe, 3539. I guess my question is twofold. Number one, was there anything that you could have done in terms of spending and whatnot that could allowed you to keep those tenements? And number 2, since you're the previous operators of those tenements, do you have an inside track to renewing and getting those tenements back?
Tony Makuch: Yes, thanks. Thanks, Cosmos. In terms of retaining the tenements, no, there was nothing that we could have done in terms of help expenditure. This was in line with the systems and processes that govern the regime in Victoria. What has happened in late October is, is there was a ground release announced by the Victorian Government and includes four blocks between 350 to 500 square kilometers each, one of those blocks is essentially the XAL3539. From our perspective, we are interested in the potential of all four of those slots. We certainly believe we will place to participate in that, it will be - it will be a relatively lengthy process in terms of the valuation. But we believe we are reasonably well placed and particularly so, particularly, so for the block that surrounds the mining lease given it's contiguous in nature and we would see that as one of the factors that will govern the selection process.
Cosmos Chiu: Yes, I guess I ask those questions because I noticed in your technical report. I guess there's other tenements that could right now could expire in year 2022. So I guess, when that happens much an IDEO 4937, Yankee Creek, for example. So I guess come 2022 you have to go through the same process potentially as you're currently undergoing for yield 3.5-3.9.
Tony Makuch: So it's correct. I guess, the other point on unrealized to stress with the mine lease expansion that occurred and was approved earlier this year, where the mine lease went from 7 to 8 square kilometers to 28 square kilometers that really for us the Q, the life of mine as we see it currently and for - and all without putting an exact number on it surpassed 20 years into the future. These are adjacent exploration licenses are important to us because we clearly see the potential, but they're not critical to that life of mine plan.
Cosmos Chiu: For sure, and I'm happy you brought that up as well the Yankee. Because I know that the deposit plan just to go to the South and if I were to do an extension in terms of where the mining tenement is going into those exploration tenements, by then it could be fairly deep, right. So I guess taking a step back, as you mentioned, what is to true sort of exploration potential in some of those exploration ground?
Tony Makuch: So the exploration potential is high, but coming back to the mining lease. We see multiple lines of mineralization, not just the line that hinges sack beyond what was the full mine lakes foundry into the extension. I mean we see more for example, we seeing more shallow mineralization at Robbin's Hill, which truly has spoken, plus we see other lines as well. And what we will say is that we're looking at, again, an aggressive exploration program in 2020, that won't be just focused upon the extension of Phoenix and Harrier it will be looking at testing these other systems as well. And sorry - the [ph] process of exploration minority and the license is going back and it's a normal process it throughout the country is happening to all mining companies and any given day throughout the year. It just had to be exacerbated because it happened to us at Fosterville, and on the other side it hadn't someone come out and come in and do some exploration and come up with a discovery there that we look at negatively when it happens.
Cosmos Chiu: Yes, of course. Maybe switching gears a little bit here in terms of Macassa. I noticed that you've taken over from the general contractor with a shaft sinking. Was that always the plan? And I guess the second part of my question is, you've mentioned, Tony, it's not going to impact on cost, it's not going to impact on schedule, which is great, but I thought if you're switching over to your own sort of shaft sinking, I would have thought if you cut out the contractor costs there could be potential positive impact on cost.
Tony Makuch: Well, so the answer to your first answer, no it was never our intent at the beginning. We awarded a contract then we had contract just as we progress through the project we just felt that would be probably in our best interest to take it and overdo it ourselves and for the most part that the crew that's doing the work with the same crew that would have been working there for the contractor and people we have working for us prior to this like - as for example he is a shaft leader, he know numerous shafts throughout Canada and North America and he was the one who was on the shaft for us but make sure it's [indiscernible]. We got a lot of capable people here. And in terms of how that affects the cost and the schedule going forward there's a lot of moving parts, but again, we see no offsets. And we see some opportunities as we go forward.
Cosmos Chiu: And then, and Tony, I guess, to give us an update here, so the horse is in place, the gallery is in place right now you're doing full face sinking of the shaft.
Tony Makuch: Yes, we're actually down below, we actually just hit 700 feet. So we're one-tenth of the way down to final completion and things are really starting to get on to the cycle and things are moving well and then just getting battened down now ready for winter.
Cosmos Chiu: Good stuff. Thanks, Tony and team. Those all the questions I have.
Operator: Thank you. Our next question comes from Mike Parkin from National Bank. Your line is open.
Mike Parkin: Hi guys, thanks for taking my call. Just a couple of questions. Well, I'll start with one, just following up on the exploration license at Fosterville. If you look at Slide 21 of the presentation, the purple area of the Robbin's Hill, is that mineralization not - looks like it's going north. Does that get impacted by the border of the mining license and the exploration license?
Ian Holland: Yes, thanks. Thanks, Mike. Ian Holland, here. It would have with the previous mine lease, but the mine lease extension that we got was also to the north, in early probably this year so that includes that extension potentially to the north.
Mike Parkin: Okay, so you get there. Good then just a couple, kind of housekeeping items on the accounts payable, that's been ticking up since early 2018, quarter over quarter consistently where should we kind of expect that goal going forward is that going to start to level off, is there any potential reversal?
Ian Holland: Thanks for the question. We had a year 2018 a year where we have a lot of projects the Fosterville and Macassa and so we have, that's the reason for the uptick. I suspect that as we move into next year and a lot of the projects that we had at Fosterville for example are going to be completed by the end of this year, early Q1 next year, we should see that come back down to sort of the normal run rate for what you would expect.
Tony Makuch: So getting up to that little bit year-over-year, we, increased our production from 2017 to 2019, right, from 600,000 ounces of both Million, but we've increased our exploration expenditures from 40 million, to now well over 120 million to 130 million and other cost capital development sustaining CapEx etcetera growth CapEx of they all an increase in accounts payable in our working capital, right.
Mike Parkin: Yes. Naturally it would rise with that and then with the Northern Territory spend you've spent about 32 million on it that was capitalized in Q3. Quite a bit of activity, it seems like with the third quarter, should that be kind of coming down in the fourth quarter. Now that the bulk sample seems to be done.
Ian Holland: Yes, thanks. Thanks, Mike. So, I mean the activity that's occurring used and lots of drilling as Tony indicated before, but we're also really importantly underground development and so for us, we've been developing with three development groups and really testing the ore body and understanding that. So, very much, we would consider trial mining phase, we've commenced trial processing. So we would expect expenditure to remain pretty similar. But we will have the advantage of having some of that gold production credited back against capital because we don't have commercial production in advance of decision to go into commercial production. So from our end, we are working through our 2020 budgets as we expect, we are pretty optimistic with what we see. But with both had no approval commitment for commercial production as yet.
Mike Parkin: Okay. And then in terms of the level of development. You've done about 7 kilometers if I read. And is there kind of a target completion amount before you make a full go ahead restart construction decision, whatever you want to call.
Tony Makuch: We would expect to make a decision by the end of the year or thereabouts really for commercial production. I mean we're pretty optimistic with what we see clearly with 10 million and we were hurrying up quietly but we are pretty comfortable and clearly what we see. But we haven't made our full commercial decision this year.
Mike Parkin: Okay. And then with Fosterville we've been getting good exploration updates to the Macassa, I haven't seen anything from Fosterville for a while. What's the thinking in terms of an update on that front?
Ian Holland: We've been drilling in three main areas in the Phoenix Harrier and Robbin's Hill areas and we expect mineral resource product in all those areas. We're just waiting to get more complete sets of data before releasing results but anticipate that there will be news flow when they are drilling projects before the end of the year.
Mike Parkin: Okay, great. Looking forward to it. Thanks for taking my questions.
Operator: Thank you. Our next question comes from Craig Stanley from Eight Capital. Your line is open.
Craig Stanley: Thank you and thank you for taking my questions. Just a few quick ones for me. First off, is the 2.75% Victoria state royalty. Is that going ahead and if so when in 2020?
Tony Makuch: So as it stands now, the royalty is going ahead. There is work from both an individual company stance plus our industry body the Minerals Council, there have been lots of discussions with the government on various potential modifications to the royalty and those discussions continue. And there is some potential for some changes, but from our point of view, we see - the likelihood is that it goes ahead on January 1 effectively at that sort of rate.
Craig Stanley: Okay. Swan was 59% of the tons that pretty much you guys getting sort of the upper limit of how much you could line over there.
Tony Makuch: Pretty much. That 50% of the reserve. So that's about the right sort of number clearly because of the grass it's the highest priority area to be mining from the left. That's pretty much the limit.
Craig Stanley: Okay. The Amalgamated Break mineralization that you guys been hitting, the more that you look at it, they're looking more like the SMC or is it more like [indiscernible] mineralization?
Tony Makuch: It has probably a lot of similarities to some of the mineralization in SMC, even the mineralization in SMC can vary depending on whether it's posted in the field or in the volcanic turf but generally it's looking more like what you would see in the volcanic turf. There's Gold with the carbonate alteration, and there is some hot infusion nearby. So I would say probably very similar to some parts of the SMC.
Craig Stanley: Thanks. And last question for me. The exploration license that surrounds possible, that 3539, are you able to give any indication on how much it might cost. To renew are we talking hundreds of thousands of dollars, millions, 10s of millions?
Tony Makuch: Yes, it's not a function of our cost to renew. Essentially there is a licensing regime where you would pay a certain amount for the license by area, but that's fixed. It's really around - the competitive part of the process is really around what a company brings to the table in terms of the license to operate. So the social safety environmental performance and the technical ability, the financial capacity and their ability to develop resources from that area. So ultimately returning value to the state. So that's - it's really on those sort of areas that the assessment process is on. Did that make sense?
Craig Stanley: Yes, that makes sense. Thank you.
Operator: Thank you. Our next question comes from John Tumazos from John Tumazos' Very Independent Research. Your line is open.
John Tumazos: Thank you for taking my question. I'm pinching myself twice. I'm talking to a company with a 36% ROE and I'm talking to a company that hasn't blown the money. Thank you. As it relates to reserves that are currently about 6 million ounces or six-year life. As you increase output in the Northern territories and with the Macassa shaft, there is a chance the production rises faster than the reserves or the reserve life falls a little bit stays the same, doesn't go up a lot. Some investors don't understand the high grades and underground mine reserves that are proven out like a big porphyry would you slow down the production to sort of keep in line with reserves or would you buy in stock because people don't understand the outlook?
Tony Makuch: Well, I think John, good valid points. But I mean the reality is we got - we got and the fact that we can at our operations and so we explore aggressively because we see the opportunity to continue to grow value but to leave ounces sit in the ground and it's not really in our DNA. We got our operating plants and we going to work them so that they can create value today for our shareholders. There's a lot of ways we create value. One is by costs and earnings and low cost earnings and higher revenues that certainly, but we also create value for shareholders with the diamond drill bit by discovering new deposits and an expanding reserves and resources and the recent highs and lows over time, but I mean fundamentally I think we are working at how we maximize value all the time.
John Tumazos: So we might want to just be comfortable with a short reserve life. If the miners get it out of the ground fast through then you can document things on 43-101.
Tony Makuch: It's an underground mine. I remember years ago working at the [indiscernible] back in 1995 to 1996 where the chief geologist team communities are upset at the end of the year, we produced 170,000 ounces in half a million. You can put in the reserve statement since then that mine produced over 3 million ounces of the gold. So it's the nature of underground gold mining in a lot of these areas. We do recognize the importance of building up the resource in the reserves to really get some comfort in the shareholders, and that's why we are very aggressive explorer in terms of our drilling.
John Tumazos: I got to ask another question. I'm a little confused that the business - the discussion about claims expiring around Fosterville and how the Company's picking them up. You have an extremely complicated sophisticated brilliant milling process combining many techniques for the courts versus the refractory ore bio reaching and the zones you're drilling or kind of deep in places. Is there a big rush to stay claims all around you for people who don't have any idea how to Mill the ore?
Tony Makuch: So, thanks, John. I mean clearly there's a lot of interest in the area given the high-grade nature of the discoveries in the production that's occurred. But I think the point you make is a really valid one. There is only one place that that material is going to be milled and that's at the Fosterville mill. So from our end, we don't have anything to fear from others discovering anything in the area. It would only lead to our benefit, I think.
John Tumazos: So these blocks are going to do high risk wildcatting. And if they hit something, the best they can do is through it to you for a royalty.
Tony Makuch: That could be an outcome.
Operator: Thank you. Our next question comes from Steven Butler from GMP Securities. Your line is open.
Steven Butler: Well thanks, operator. Guys, great quarter. David, quick question for you, obviously you guys printed a heck of a lot of EBITDA, but you didn't print or pay a lot of taxes, maybe could you explain your tax situation in the quarter. You paid such a minimal level of cash tax. Will that catch up to you or is it a timing thing or can you explain that?
David Soares: Sure. Thanks for the question. It is and it is something to think about for the year for 2019 and really, it's really based on the fact that our installments for 2019 taxable income were very low because in 2018, our taxable income after utilizing the losses was very low. So our installments are sort of artificially low compared to what our actual tax obligation is for 2019. So we will start and file our 2018 tax returns in Australia recently and so we will start making higher installments on what we owe beginning in November, so you could see somewhere in the neighborhood of $12 million to $16 million on the monthly basis right up through the first half of next year with a large catch-up payment at the end of June once we file our tax return for next year.
Steven Butler: Okay. So there it's effectively hedged. Is it a 12-month lag or effectively 6 months lag? Is that sort of what you're saying?
David Soares: More or less the 12-month lag.
Steven Butler: Got that. And Troy, just coming back to you in Slide 21 which you showed the results very long section views. That development drift that's been driven above the Phoenix and [indiscernible] zone with those of several drill base with indicative drill holes off them, is this planned drilling or drilling that's been already undertaken. I would assume it's still planned drilling?
Troy Fuller: Yes. So that drill development is in and we currently have four drill rigs position in that development targeting those down-plunge extensions of the storm in reserves. So drilling is in progress and the results from those drilling - from that drilling will be core branding needing model updates.
Steven Butler: Okay, got it. Understand. Thanks for much guys.
Operator: Thank you. And our final question comes from Ovais Habib from Scotiabank. Your line is open.
Ovais Habib: Hi guys, thanks for taking my question. Just a couple of questions from me. Most of the stuff has been answered. Ian on Harrier, obviously, you guys have been developing into Harrier. When do you guys start expecting to see or kind of coming out where I'm basically heading towards is, how should we kind of look at 2020 in terms of ramp-up and throughput? Is some of that material coming in 2020?
Ian Holland: Thanks, Ovais. So in terms of - without providing detailed numbers we expect the contribution from Harrier to still be quite modest in 2020 and then increasing beyond that point. One of the key drivers for that is the completion of the key infrastructure projects, the ventilation upgrade with associated power upgrade et cetera. So the volume increase, which is the additional contribution from Harrier is a little bit beyond that really. So I would expect that we'll see pretty similar volumes in 2022. What we've seen this year.
Ovais Habib: Okay, got it. And just moving on to cosmo as well. Obviously, you guys are looking to make some sort of decision by the end of the year on commercial production. But can you give us just what should we expect over the next couple of months just in terms of updates from your base? Is there any kind of - once you do make a decision does a mine plan expected to be released or how should we look at this?
Tony Makuch: What we expect to do is the potential for some exploration drill results to be released. We'll see where that stands. But in terms of framing a guidance for 2020 and then clearly from our end, we want to be talking about production levels and cost metrics. In terms of what we're looking for here Ovais, it's clearly an operation of significant discount or at least a pathway to that and that sort of plus 100,000 ounce per annum production profile. With cost metrics that make sense to us and ability to generate cash flow. So there is a criterion that will inform and we are working through our internal processes around for that now.
Ovais Habib: Okay. That's perfect, Ian. That's it from me, thanks. And thanks for taking my questions.
Operator: Thank you very much. That concludes the questions. I will turn the call back over to Mark. I think for closing comments.
Mark Utting: Thanks very much again to everybody who took time to participate in the call. As you've heard, we had a record third quarter and very encouragingly expect to have a very strong finish to 2018. We're generating industry-leading earnings for building our financial strength. We are making very good progress with our projects and have a lot of exciting things going on from an exploration standpoint. And we expect to continue to have a lot to say and look forward to updating the market again in the weeks and months ahead. So thanks again and enjoy the rest of your day.
Operator: Thank you very much, ladies and gentlemen. This concludes our conference. You may now disconnect.